Operator: Welcome everyone to the Lindsay Corporation third quarter 2008 conference call. (Operator Instructions) During this call management may make forward-looking statements that are subject to risks and uncertainties and which reflect management's current beliefs and estimates of future economic circumstances, industry conditions, company performance, and financial results. Forward-looking statements include the information concerning possible or assume future results of operations of the company and those statements proceeded by, followed by or including the words expectation, outlook, could, may, should, or similar expressions. For these statements, we claim the protection of the Safe Harbor for Forward-Looking Statements contained in the Private Securities Litigation Reform Act of 1995. I would now like to turn the call over to Rick Parod, President and Chief Executive Officer.
Richard W. Parod: Revenues for the third quarter of fiscal 2008 rose 54% to $143.6 million as compared to $93.1 million for the same prior year quarter. Net earnings were $14.1 million or $1.15 per diluted share compared with $7.5 million or $0.62 per diluted share in the prior year's third quarter. The quarter also included a decrease in our income tax expense of $1.1 million increasing earnings $0.09 per diluted share, implementing a correction of previously recorded tax expense related to Section 162M of the Internal Revenue Code. Total revenues for the first nine months of fiscal 2008 were $327.9 million rising 57% above the same period last year. Net earnings for the first nine months were $28.2 million or $2.29 per diluted share compared with $11.8 million or $0.99 per diluted share for the first nine months of fiscal 2007. In the domestic irrigation market revenues were $79.1 million for the third quarter increasing 46% over the same quarter last year. Economic conditions for US farmers have been very robust due to higher agricultural commodity prices. The most current USDA projections are for net farm income to be up by 4.1% for the 08 crop year, achieving a new record of $92.3 billion. Recent wet weather conditions have jeopardized earlier production and yield estimates for corn in the US pushing commodity prices higher. While it remains to be seen what crop damage has resulted from the weather, the year-over-year higher commodity prices have favorably impacted the demand for our equipment. International irrigation revenues were $41.5 million for the third quarter, up 95% over the same period last year. Exports were up in all regions and were up in total more than double the same quarter of last year driven by agricultural development and high yield improvement initiatives. In addition we've seen significant growth in revenues from each of our international irrigation business units in Brazil, South Africa and France. For the first nine months of fiscal 2008 international irrigation revenues were $92.5 million up 96% from the same time last year. The higher global commodity prices, pressure on increasing food production, and demand for bio-fuels has increased investments in agricultural development including expanding efficient irrigation. Infrastructure revenues rose to $23 million or up 30% from third quarter last year. Most of the increased revenue in the quarter was from the lower margin highway tape product line from snowline in Milan Italy and from our diversified manufacturing business. Barrier System's revenues were also higher in the quarter. We have now completed the large part project in Puerto Rico; however, we continue to pursue traffic mitigation projects some of which are similar in size and larger. Year-to-date, at the end of the third quarter infrastructure revenues were $68.2 million up 55% from the same time last year. Barrier System revenues were up more than 47% and diversified manufacturing revenues were over 35% higher than in the first nine months of fiscal 07. Gross profit rose to $37.1 million for the third quarter versus $24.4 million in the same quarter of last year. Gross margins declined to 25.8% compared to 26.2% for the third quarter last year. Gross margin on irrigation products increased during the quarter over the same time last year and margin on infrastructure decreased due to unfavorable product mix and higher steel costs on contract manufacturing orders. Year-to-date at the end of the third quarter, gross profit was $86.4 million compared to $51.3 million in the prior year period. While revenues rose 57% in the first nine months of fiscal 2008, gross profit rose 68% reflecting leverage from the higher volume. Gross margin was 26.4% year-to-date compared to 24.6% in the first nine months of last year. Total operating expenses for the quarter were $16.7 million versus $12.9 million in the same quarter last year primarily due to the inclusion of Watertronic, Inc. acquired in January of this year and higher personnel related expenses. For the quarter operating expenses were 11.6% of sales compared to 13.9% in the prior year third quarter reflecting continued leveraging of expenses. For the first nine months of fiscal 2008 operating expenses were $43.6 million or 13.3% of revenues compared to $33.5 million and 16.1% in the first nine months of fiscal 2007. Our order backlog rose to $84.4 million on May 31, 2008 as compared to $30 million on May 31, 2007. The irrigation backlog was up $48.5 million achieving the highest irrigation backlog for the end of the third quarter and infrastructure backlog increased $5.9 million. Accounts receivable increased $27.4 million from the same time last year due to the higher revenues. Inventories increased $15.8 million over the same time last year in support of the higher backlog. Our consolidated inventory turns were approximately 5.1 times equal to the same time last year. In summary, strong agricultural commodity prices continue to support strong demand for efficient high-yield enhancing irrigation equipment. We continue to experience robust demand for our irrigation equipment globally driven by high economic returns for farmers, global food requirements, agricultural development and water use efficiency demands. In our infrastructure segment we're pleased with the demand and interest in Barrier Systems' unique movable Barrier product line and the growth we’ve experienced in their other road safety products. We continue to see many domestic and international opportunities for growth in our infrastructure business including leveraging across our international platform. I'd now like to open it up for any questions.
Operator: (Operator Instructions.) Our first question comes from Joe Giamichael - Rodman & Renshaw, Inc.
Joe Giamichael - Rodman & Renshaw, Inc.: In the release you said a weakness in the infrastructure segment is the reason for the declining margins but I'd like to focus on the irrigation business for a couple questions. We don't have the Q yet but given the $120 million in irrigation revenues, I would have expected significantly more gross profits? It would appear that inputs have run against you more aggressively than the 30-day pricing guarantee allows you to pass through. I know you don't break out gross margins and you did say that irrigation gross increased year-over-year, but could you give us a better sense of what this looks like on a sequential basis relative to Q2?
Richard W. Parod: Well I think what we can do, Joe, is first of all come back to the point that gross margins for irrigation did improve year-over-year and Tim Paymal, our Chief Accounting Officer, has the break out of the segment information. He can describe that a little further.
Tim J. Paymal: And Joe, on the irrigation side, $26.1 million was the segment operating income number and in the prior year it was $16.1 million comparatively. 26.1% for the current year quarter and 21.3% as a percentage of prior year third quarter.
Joe Giamichael - Rodman & Renshaw, Inc.: Can you compare that with what you showed in Q2 just on a percentage basis?
Tim J. Paymal: I don't have that handy. Give me just a second.
Joe Giamichael - Rodman & Renshaw, Inc.: I can look on that -
Mark Roth: Joe, in Q2 operating margin in the irrigation segment was 20.1% so it did rise.
Joe Giamichael - Rodman & Renshaw, Inc.: So you’ve actually shown sequential and year-over-year growth there.
Mark Roth: Correct.
Joe Giamichael - Rodman & Renshaw, Inc.: When we see the Q with the segment breakdown from the infrastructure business, I have to assume that the contribution is pretty negative in the quarter. Can you give us a little more color as to the magnitude of the turn relative to what they did there in Q2?
Richard W. Parod: Yes, Tim has that information also.
Tim J. Paymal: Joe, in the current quarter operating income is $2.1 million and 9.2% of sales and for prior year third quarter 07 that number is $3.5 million and 19.8% of sales.
Joe Giamichael - Rodman & Renshaw, Inc.: Okay, got it. As we look out at Q4 and the next year, do you feel that the price increases are still able to be passed through even if only to sustain your margins? I mean, it seems apparent that investors fear continued revenue growth to be offset by margin degradation.
Richard W. Parod: So far we've been successful in passing through the increases, the input cost increases in the irrigation segment very effectively. I don't really see that changing at this point; however, we are coming to the end of the season and it's a little different situation and we'll see a little different mix potentially in the fourth quarter, meaning we may see more mix of international sales versus domestic sales. But in terms of our ability to pass through overall increases, I don't really feel any differently about that than I did last quarter. I think we're in a pretty strong position and we intend to see the competition follows what we do from a pricing standpoint.
Joe Giamichael - Rodman & Renshaw, Inc.: Got it. And just one or two last questions. If we're to look at the typical center of your irrigation system on a year-over-year basis, how much is the average sale price increased? I guess I'm just get a better sense of how this 60% year-over-year growth comes out on sort of a pricing versus volume basis.
Richard W. Parod: I think one way to look at this would be the impact year-over-year in terms of the revenue increase and as we've said in the previous quarter it was generally about one-third price, two-thirds volume and that would hold true for this quarter as well.
Tim J. Paymal: And in terms of price per unit prior year, third quarter was approximately $37,400 and in the current year it's approximately $40,900.
Richard W. Parod: To a dealer.
Tim J. Paymal: Correct.
Joe Giamichael - Rodman & Renshaw, Inc.: Got it. And dealer margin is typically what? 15%-ish?
Richard W. Parod: It's probably going to be in that 10% to 15% range.
Joe Giamichael - Rodman & Renshaw, Inc.: Okay, got it. And just one last question and I'll jump back in the queue. Much has been made about the flooding in the Midwest. Could you just sort of quickly address the impact that this could potentially have on your business?
Richard W. Parod: Yes. Well the impact in terms of home acres lost or crop damage isn't really known yet and it's being assessed and I've heard quite a few different numbers in terms of yield loss. five bushel per acre or a number of different numbers, and I think it's difficult to estimate yet but I would say that as it pushes commodity prices up as we see, let's say less than what's expected in terms of supply of corn it will generally be good for our business in that we'll see growers globally trying to enhance yields further to make up for that shortfall. So I don't view this as a negative. It certainly is not a beneficial situation for the farmer but I don't see this having a negative impact on our business. I want to come back to one other point though, Joe, because we really didn't talk about the infrastructure margin. In fact I just want to make a couple of clarifications or highlights to that. The single biggest issue with the infrastructure margin in the quarter was significantly less quick move Barrier sales than what we've seen in previous quarters. In fact I would consider it to be somewhat of an anomaly in this quarter because the quick move Barrier, the actual concrete barrier that is used in projects was significantly less than what we've seen previous quarters. So this has more to do with the timing of when projects fall than it does with any kind of demand or government spender and anything of that nature but it is purely a project flow issue. So this was a bit of anomaly and we referenced in our earnings release also talking about the affects of steel but that is a pretty we'll say secondary or minimal effect and that's on our contract manufacturing piece of business which is a very small part of the infrastructure business in total. So in general the single biggest impact was this mix issue where we had very little quick move barrier sales in the quarter and that had a big impact for infrastructure.
Joe Giamichael - Rodman & Renshaw, Inc.: Got it. I guess I'll just ask one more question related to that. So on the infrastructure side, can you walk us through the composition of the segment revenues more in the sort of order of magnitude basis? You know, quick move barriers accounted for x, Snoline for y, and then just sort of talk about your ability to grow those businesses in an environment with sort of domestic declining tax receipts leading to lower government spending on infrastructure?
Richard W. Parod: Well for competitive purposes, Joe, I won't break out the sales much further than what we do in terms of infrastructure other than to say that typically the contract manufacturing piece, which is a smaller piece, will be 25% or less of those sales. So it's not a most significant piece. And our overall strategy is to continue to build the proprietary product piece of our infrastructure business which are definitely higher margin. Barrier Systems has not been as impacted as say some other competitors in road safety products and maybe in government spending or government pullbacks because the business is more concentrated on the very unique and specific quick move barrier system versus other road safety products like crash cushions. Now they sell those but that isn't the biggest piece of their business. So what we're going to see with Barrier Systems will be demand driven by interest in traffic mitigation either on bridges or on highways and somewhat they will be more emotional driven than by what's happening with pure government spending and in government budgets. So our mix I feel is pretty favorable from that standpoint; however, we will see some periods like this where we'll have maybe lower quick move concrete barrier type sales and then we’ll have other periods when we'll have big project sales. So it will fluctuate a bit.
Joe Giamichael - Rodman & Renshaw, Inc.: And as this business grow do you think there'll be sort of a smoothing effect to that?
Richard W. Parod: Yes, I do. I think we're going to see a smoothing because I think we'll see an expansion of the product line, we'll see a smoothing because we'll see a broader base of quick-move barriers globally sold around the world. But in many views I still view this as a somewhat early stages in the product even though it's been around for a long time it’s really now gaining much more market acceptance due to more exposure. So I think we're in the early stages and I wouldn't say embryonic early stages in terms of maturity so I think it will flatten out over time or maybe I should say become more predictable over time.
Operator: Our next question comes from Ryan Connors - Boenning & Scattergood, Inc.
Ryan Connors - Boenning & Scattergood, Inc.: That was pretty comprehensive. I think a lot of my issues were addressed there but I guess if we could just sort of revisit the issue of Joe's initial questions margins and irrigation and look at it from a bigger picture perspective. I mean, given how strong you [inaudible] volume gross has been in irrigation and given that the industry is relatively well consolidated and that pricing isn't firm, I'm wondering what's keeping the Company from translating the top line gross into even more leverage on the bottom line if for nothing else but just pure operating leverage, just spreading those fixed costs over a greater unit base? So any kind of additional commentary you can give, just in terms of the long-term view, about the profitability profile of that business in an up cycle, I think anything would be helpful as we move forward.
Richard W. Parod: Yes, I think I understand the question you're asking and I'd say to some degree, Ryan, it's limited by the amount of volume that's going to push through the quarter in any quarter for irrigation equipment in total and I say in total because I'm also looking at this in terms of leveraging our costs on a global basis. What we're seeing is our business I ramping up in Brazil, we're seeing increased volume leverage our costs in South Africa, increased volume in Europe and obviously in the US, so as those markets continue to build we can see and should see more volume in the quarter which will then leverage expenses more as time goes through. But it isn't really limited by let's say necessarily an existing capacity, it’s limited by more the way the global markets are really ramping up. So I think there's definitely more leveraging opportunity out there as the markets continue to expand.
Ryan Connors - Boenning & Scattergood, Inc.: Okay, that helps a whole lot. And then, Rick, you've talked in the past about the fact that you don't see capacity constraints as an issue necessarily and you just mentioned that there, but you have talked about supply chain as being more of a concern for you, so can you just update us on what you're seeing there right now in terms of whether those issues impacted the third quarter results at all and whether you see supply chain issues impacted us over the next couple of quarters?
Richard W. Parod: Yes, I'd be happy to. First I would say I would never completely dismiss capacity issues because they will be potentially issues from time-to-time in any one of our locations. But, what I had made the comment on in the past was that we had various methods of expanding capacity. We can do things like adding manual processes in additional to automated processes in any of our facilities. So there are a number of things we can do inside to expand capacity in response to increased demand. Where we do run into limitations would be on the supply chain. So for example, throughout the quarter we would have issues periodically with getting enough tires for the number of units we needed to ship or other sub components and that still remains a problem through - or did remain a problem - through the third quarter in each of our locations. And part of that is driven by our supply chain's ability to ramp up and part of it is driven by our ability to forecast significant increase in demand as we have been going along. It's a difficult one to forecast and we've been surprised at times at some of the markets. One of the recent ones that we've seen that added additional demand into our product, our capacity in general has been the machines that were damaged in recent storms in the Midwest primarily in Nebraska and Kansas and across this area. And there was an estimate I saw in the newspaper a day or two ago that said there were up to 500 or more machines in Nebraska that were either destroyed or damaged and all of that has created additional demand on top of what we had originally forecasted for markets which then backflows to demand for our suppliers as well.
Ryan Connors - Boenning & Scattergood, Inc.: That's very helpful and certainly I would say that most of us on financial side share and understand the challenges of forecasting, so good luck throughout the rest of the year.
Operator: Our next question comes from [Michael Riley - Maxim Group].
[Michael Riley] - Maxim Group: I'm going to look at it from a different perspective here. I'm not going to be concerned about four-tenths of a decline in margin but more looking at the growth you've had in each business unit or business sector and not what I call a significant growth in terms of normal companies but you guys lie in what I believe in the sweet spot of where water is going to turn in to commodity and I think I’ve read that $35 billion of about a $260 billion water industry, $35 billion lies in wasted water due to poor irrigation approximately [inaudible] domestically but internationally. And so that's why I think you guys are going to be up and running and be an extremely strong company. I don't really care about the little hiccup we have today or the four tenths of a basis points in gross margins but more interested in your growth and how you've seen an adoption of your products internationally. Can you talk about that a little bit?
Richard W. Parod: Yes, I'd be happy to. And I think you've hit on a couple of very excellent points, Michael. One is that I think if you look at the true drivers of this business today and going forward, it's water, food, energy, in terms of bio-fuels, environmental issues in terms of implementing irrigation systems that are environmentally friendly and safety which ties into our infrastructure part of the business. So I agree with you in terms of the sweet spot analogy. Coming back to your question about the international markets, what we are seeing is continued growth in markets like Brazil where agricultural development is pretty strong. We're seeing growth and continued development now in China which we see as a potentially very strong market for the future and probably not distant future but near future; we're seeing certainly some enhancements there. I just recently came back from Ukraine and I see continued expansion in that area both Ukraine and Russia I think will be good markets for us in the future. We've seen expansion recently and I think you can find articles where there's been investment in the Middle East, in Egypt and actually many markets of the Middle East, but also money from the Middle East going in to various markets in terms of agricultural development globally. And the other interesting point is if you look at the penetration of pivot irrigation into the US market, it's basically 40%, or 41% of irrigated acres which is only 13% of total acres. So that may be a significant percentage in terms of the total irrigated acres but when you get to the global markets the percentage of pivot penetration in total is certainly well below 5% in total so I think there's a tremendous opportunity and it's in the very early stages. I think the interesting trend in development that's significant here is that commodities rise or profit opportunity rises for farmers. The interest in expanding their yields also certainly increases which means they're willing to make the investment in equipment like ours to expand those yields. So I think we're in early stages of continued global expansion.
[Michael Riley] - Maxim Group: Right, and I think you touched on it with the flooding is unfortunately [inaudible] two of the floods but the farmers will be looking at the most efficient means of being able to irrigate their land and again that's where you guys lie in using the GPS technology, etc. and penetration of questions from the Far East is where a majority of that inefficient irrigation lies so I mean that should be a great market and I know you've been down in Brazil. I know that another of the big three - Far East, Brazil, South America and then how about India? Are we looking at the India?
Richard W. Parod: We are. We're in the very early stages in terms of India but we also view that potentially as a very good market. And I'd come back to the environmental part that you were referencing and just add a bit of color, which would be when you look at efficient pivot irrigation, the equipment that we sell versus flood irrigation, flood irrigation will typically be in that 50% to 60% efficiency level meaning that the right amount of water being applied at the right time and a lot of that water may evaporate or run off into rivers and streams and carry fertilizers and chemicals and seeds versus a pivot system which can be 95% efficient and sometimes even more in terms of the application of the water and from an environmental standpoint certainly much better. So I think there are some very important points there that are starting to be recognized globally.
[Michael Riley] - Maxim Group: Today's a short [inaudible] day [inaudible] anomaly, but I think you guys are again in the sweet spot of this whole agriculture and water turning into a commodity play even if agriculture was the pricing of corn, soy or wheat even if they’ve gone down, farmers are still going to want to maximize their yields and their efficiencies and you guys lie in there.
Operator: Our next question comes from [Ben Faulk - Marble Barr].
[Ben Faulk - Marble Barr]: Quick two questions. Firstly, if you could just clarify, I kind of missed what you said about the irrigation margins for the third quarter and year-on-year and also compared to sequential, just a clarification there. And secondly, just coming back to the anomaly you talked about in infrastructure, you said this is more due to timing and less quick barrier sales. Would you say it's an anomaly, the margins going from 19.8% to 19.2%? Do you expect this margin to bounce any time soon, the next quarter or the quarter after? You talked about a smoothing effect. I mean, how does this come back because clearly initial comments were that it was mainly steel, which is kind of more of a structural issue when it actually sounds like it's kind of more of a one-off pressure to the margins. I’m trying to get an understanding, obviously steel's not the main issue but timing of, if you could just explain a bit more of this whole anomaly in the infrastructure business, that would be helpful.
Richard W. Parod: Yes. I will attempt to. I'm not sure I got all of your question due to the quality of the line but I think there were three questions in there, so I'll attempt to take those sequentially. The first one I believe was the irrigation question of volume versus price and volume if I understood that correctly, and I think the answer is that in the quarter the increase that we saw in irrigation about one-third is price and two-thirds volume increase. Is that the question that you were asking?
[Ben Faulk - Marble Barr]: Just actually clarification on the margin for the third quarter this year as compared to last year.
Richard W. Parod : Oh I see. I think we’re talking about segment operating margins for irrigation.
Tim J. Paymal : I’ll clarify that for you. For the third quarter of fiscal 08 that was $26.1 million and 21.6% of sales and then third quarter of fiscal year 2007 that number is $16.1 million or 21.3%.
[Ben Faulk - Marble Barr]: Do you have the last quarter’s numbers so we can get the sequential?
Tim J. Paymal : The second quarter was 20.1% on the margin basis and $16.6 million.
[Ben Faulk - Marble Barr]: Then the second question on infrastructure, the anomaly?
Richard W. Parod : The second question was regarding my comment on the QMV or the movable barrier anomaly and what I said was that we had very low movable barrier sales in the third quarter this year which I consider to be an anomaly in that if you looked at the third quarter last year we had some pretty good movable barrier sales and that’s a very high margin product line for us. This is going to ebb and flow a little bit with significant projects that come in. Or, I should say significant but projects in total so barrier systems will see projects or earn projects consisting of quick move barrier and as in the case with this past quarter they finished the Puerto Rico project and really had very little then movable barrier revenue which is a high margin product line for them. So, that’s where the mix issue is, it’s in that concrete barrier that’s part of the quick move barrier system.
[Ben Faulk - Marble Barr]: Just a clarification, when you say this is an anomaly would you expect margins to kind of bounce back up to normal run rate of 19% going forward next quarter as you get more projects coming back?
Richard W. Parod : The answer is slightly different. I would expect to see future quarters with more movable barrier sales but I would also add that because it is a project oriented business, it is likely we will see some in the future with low movable barrier sales again because it is tied to projects. But, I would not expect to see that typically in a quarter.
[Ben Faulk - Marble Barr]: So the work loss this quarter you might make up next quarter, is that what you’re saying?
Richard W. Parod : Well, I wouldn’t view it as make up or loss, I would view it as tied to projects as they come in and the timing of projects. I think the way to look at this is on a longer term basis, this is a very unique product with tremendous growth opportunities and you’ll see some periods when order will come in and our backlog will build for this movable product line that will be I would say probably exceptional and there will be other times when we won’t be seeing the orders come in but it’s just really a timing of project issue more than anything else. It is not a long term growth issue, it’s not a performance issue but it’s tied to the timing of when projects are earned or when they fall in. I think there was another question you had regarding steel and I want to come back to that.
[Ben Faulk - Marble Barr]: Yes, it was steel.
Richard W. Parod : Yes, the steel was really, as I said it’s a pretty small piece relative to the total picture but it was tied to our contract manufacturing business infrastructure which as I said was roughly about 25% of those revenues, a fairly small piece of those infrastructure revenues. But, that’s the case where we’ve taken on contract manufacturing work for other companies at a price without as much control in terms of the ability to reprice those orders as we have with our proprietary products and our overall strategy has been minimizing contract manufacturing however we will continue to support the customers we have, there’s no issue with that. But, we’re trying to continue to build our base of proprietary products.
Ben Faulk - Marble Barr: So it would be wrong to assume that you’ve kind of continue at a 9% margin going forward? You will bounce back to a kind of blended average for the last couple of quarters.
Richard W. Parod : Without giving guidance, I would say yes that’s true.
Operator: Your next question comes from Patrick Forkin – Tejas Securities.
Patrick Forkin – Tejas Securities: Could you give me any kind of idea of what the break out is on the irrigation side between business in the United States and business outside of the US?
Richard W. Parod : Yes, in fact it’s in the slides that we have published on the site. Just one moment and I can pull that sheet for you. For the quarter, the US revenues were $79.1 million and international revenues were $41.5 million.
Patrick Forkin – Tejas Securities: And I’m fairly new to the story here, has there been much movement in that relationship? You know, over the last year have you seen that much movement of that going forward?
Richard W. Parod : Well, there is movement but I’d also highlight the growth that took place year-over-year in the quarter in those two pieces of our irrigation business. One is that if you look at the domestic revenues of $79.1 million it’s up 46% from the same quarter last year. The international revenues are up 95% from the same quarter last year and we saw roughly, if I recall, I think it was 130% growth in international last quarter over the previous second quarter so we’re seeing very good international growth. So, I would say at this stage it is typically growing faster than the domestic market is.
Patrick Forkin – Tejas Securities: Any particular part of the world where more of that growth is coming from on the international side?
Richard W. Parod : Unfortunately, what we’ve seen is very significant growth in our export business which includes areas like Australia, Central America, Mexico, Middle East and China and we’ve also seen very good growth in the last year in our foreign operations which are in Brazil, South Africa and France covering Western Europe. So, all of them have seen very good growth. I’d say that there’s some particular hot spots which I would probably include China as one of those, Australia, New Zealand has certainly been very hot for the last couple of years. There’s a lot of good growth markets and I think there’s some new developing ones which we haven’t really scratched the surface much with yet and that would come back to Russia, Ukraine and longer term India and we’ve also seen some really good growth, as I said, in our international operations in Brazil.
Patrick Forkin – Tejas Securities: Okay so that profile really supports, I think you made a comment earlier that if US farmers in the Midwest were, even though commodity prices were high, were pinched by lower yields and then they had less available for cap ex, that the higher commodity prices in other parts of the world that were working to increase yields, would support that continued international growth. Is that a safe way to look at it?
Richard W. Parod : I think that’s a safe way to look at it and whether it’s a direct correlation or how you would view that, I’m not certain. But, I would come back to the point that the real message in the equipment that we sell is first a yield improvement or a yield efficiency message meaning with somebody who’s put in an irrigation system like ours, if they’re a dry land farmer they may see 50% to 100% yield improvements, if they’re converting from flood irrigation it could be 20% yield improvements or more. So, the real message for the farmer, what’s going to be the driver would be that yield enhancement opportunity. The second part of it will be the water saving, or the water efficiency aspect meaning in areas where there’s limited water to work with, farmers will also consider conversion for that water savings opportunity and basically maximizing the crops they can produce given the amount of water that they have to work with. So, I think that higher commodity prices will continue to drive farmers to install yield enhancing equipment like ours.
Patrick Forkin – Tejas Securities: Then on the conservation and yield enhancement fronts, and I should know this about your products, but I don’t. A lot of the GPS guys are using, allowing farmers to use GPS to vary the application of chemicals and fertilizer within a field. Do you guys, is the application of water pretty much uniform on a given sprinkler system? Or, is there something built in that would allow the farmers to vary that application by the pitch or the drainage in a particular field?
Richard W. Parod : Typically, the application is pretty uniform. We do use GPS control for certain functions or processes on our equipment like an end gun control for example that will turn on and off an end gun passing certain parts of the field or as it’s coming up to let’s say a roadway to shut off the end gun. So, there are certain functions that are controlled through GPS. What we have seen is that, and we do have the option by the way of being able to have more variable application through our irrigation systems however it does include incremental costs in order to do that, meaning more controls of specific sprinklers along that pipeline. Typically we’ve found that farmers have not either seen the benefit to warrant the additional expense or the expense has been prohibitive to go that route so we haven’t seen that yet. However, I would say that in the future, as the next step comes for the opportunity for yield enhancement, I wouldn’t be surprised to see that as a growth path for the future.
Patrick Forkin – Tejas Securities: Then last question, you said that demand on the irrigation side is robust. Qualitatively, any significant change since the last time you guys have reported here?
Richard W. Parod : No, I think what I would point to as an indicator however, is the backlog. And, if you look at our backlog of over $84 million in total, and I made the comment it was the highest third quarter backlog for irrigation that we’ve seen. I could also comment that it’s more than double what we’ve seen in any other third quarter at the end of any other third quarter period for irrigation. So, I think that demonstrates the pretty robust demand.
Operator: Your next question comes from Ned Borland – Next Generation Equity Research.
Ned Borland – Next Generation Equity Research: Following up on your last comment there Rick on backlog, could you give me a sense of what your production lead times on center pivots are doing versus the previous quarter and versus a year ago?
Richard W. Parod : I would say that the specific lead time on an irrigation machine is higher than what it would have been a year ago. In fact today, given the machines that we’ve dropped in to our schedule let’s say from the storm damaged machines and the repair parts that are required for those storm damaged machines, I think we’re probably still looking at lead times that may be in the 30 days to probably 30 days out, probably roughly in that area. Not for all machines but roughly in general. Typically what we would see at this time of year is a very short lead time where you’d have machines in stock and be able to turn that to where we’d be supplying those machines within say a week to 10 days. But, we are seeing longer times in terms of turning those out and some of that is due to the supply chain. In fact, I would say more of it is due to either forecasting or receipt of materials and supply chain in general than to any other factor.
Ned Borland – Next Generation Equity Research: Then can I get a sense for what your steel costs have done during the quarter? How much have they appreciated versus the end of the last quarter?
Richard W. Parod : I don’t have that handy but we have seen a significant appreciation in steel. My recollection – well, I just don’t have that specifically in front of me at the moment, sorry.
Ned Borland – Next Generation Equity Research: Well, the level of pricing that you’re at now and I imagine that a third of your growth has come from pricing. Do you envision that basically you’re going to need future price increases in order to maintain margins where they are right now? Or, can you expand margins basically through increased operating leverage?
Richard W. Parod : I would expect that we will have expansion of margins from operating leverage. However, I don’t really think we’re finished with price increases either. I expect we’ll continue to see additional prices increase. In fact, I’m sure we’ll see additional price increases in irrigation in particular given what we’ve seen happen in terms of steel costs and the cost rise that took place in the last 45 to 60 days. We will continue to see price increases and I do expect to see competition continue to follow where we go from a pricing standpoint.
Ned Borland – Next Generation Equity Research: Do you get a sense that maybe farmers are reaching a point of resistance maybe that pricing on a [inaudible] is getting to a level where it’s affecting some of their purchase decisions?
Richard W. Parod : I get concerned about that. We haven’t heard that farmers are ready to pull back or anything regarding a change in their buying behavior based on the current pricing. However, it is one of those areas where I do get concerned. I would say that its somewhat beneficial that this price run up in steel has occurred when it did because it’s really towards the end of the typical US irrigation season meaning most of the machines are in the field and the farmer is not coming back say next week buying his next machine but he may be coming back in another month to be looking at his machine for next season. With the exception of let’s say replacement machines due to storm damage or something of that nature. Now, the international markets continue to go but from a domestic standpoint I think there is a bit of a time lag here where it allows the farmer to catch his breath and the next time he comes back he will sure expect to see a price increase on the equipment that he’s buying. I want to come back to the steel issue because I did find a couple of things in my notes. What we’re seeing is steel back probably early in the second quarter or sorry, end of the second quarter was at $0.29 per pound. The sport market on steel is probably about $0.53 a pound and that does not mean that those are the prices that we incurred in any specific quarter because we always have a mix of buying on spot and hedging. Basically quarter-to-quarter we’re looking at 80% of our steel requirement will be covered by a hedge buy.
Operator: Your next question comes from Joe Giamichael - Rodman & Renshaw, Inc.
Joe Giamichael - Rodman & Renshaw, Inc.: Just two quick questions for you, the first is from a pricing standpoint, most of these increases have been steel related. Assuming that steel prices lessen at all, is there any push back from dealers in terms of trying to look for lower prices or do these remain, are these relatively sticky?
Richard W. Parod : Joe, I feel they’re relatively sticky. I think it is possible, depending on what happens with steel that there could be a push back but the real factor that determines how much of a push back that would be is what our competition does. If we start to see one of our competitors, and there’s really only two that we’re concerned about, but one of our competitors start to give back let’s say a reduction they see in steel costs then it will increase that pressure and that momentum to give back pricing. We have not seen that in the past when steel did run up and then fall back a little bit and I would expect not to see that in the future.
Joe Giamichael - Rodman & Renshaw, Inc.: Then just to get a better picture of the international opportunity, can you just describe the competitive environment I guess more globally and then give us a better sense of what the strategy is regarding the ability to serve some of those large markets? Do you intend to have a local manufacturing presence in China and India? And, have any of the locally produced products start to take the sort of earlier adopters share?
Richard W. Parod : Yes, let me talk first about the competitive environment and say that in general there are really two global competitors throughout the world in all the markets and that’s Lindsay and Belmont. Outside of that we certainly having [inaudible] that competes by export in many of those markets and we do have regional competitors in I’d say most of the markets that we’re in and they vary in terms of strengths in those markets. In Brazil we have a regional competitor, South Africa there’s a regional competitor and in Europe, which is the most competitive market, there’s probably seven or eight regional competitors that do tend to make that one a little messier than some other markets. But, in general it comes back to Lindsay and Belmont. One of the points I would highlight about that is that there is investment that is required in order to keep a product line full, up to date, functioning correctly, add new technology, have a strong distribution channel that can serve the growers and those are the let’s say barriers to entry that we have and I think those are significant barrier to entry that you don’t find in all industries including things like in drip irrigation to some degree. I think from that standpoint globally we’re in a pretty strong position. Now, there was a second part of your questions, I’m sorry what was that Joe?
Joe Giamichael - Rodman & Renshaw, Inc.: Just about whether or not you’ve started to see, I know there are couple of smaller center pivot companies in China and things of that nature so just whether or not you’re starting to see any of these locally produced products from maybe emerging competition start to take any share?
Richard W. Parod : We have not. From time-to-time we see these smaller companies pop up in areas like China. Somebody pointed out recently that there was one that appeared in Turkey which we hadn’t seen before. We haven’t seen significant, I should say significant, we haven’t really seen any kind of major share gains from those local competitors. I do think as we expand our business, and this will come back to the second part of your question in a minute, as we expand our business footprint globally, it will change some of the competitive dynamics. For example, I wouldn’t be surprised if in the future China potentially had some subsidies that were tied to more greater subsidy for local manufacturing. That’s one of the reasons why it’s important for us to have local manufacturing or supply in those major agricultural regions. This comes back to the second part of your question which is our strategy for serving those markets and as we’ve demonstrated in Brazil for example, the strategy has been to go in an set up a manufacturing operation fairly limited in scale in terms of the type of processes that are there. For example, buying pipe and outside galvanizing and then expand those operations as the market continues to expand and grow. That is our overall strategy for all developing agricultural markets.
Operator: Your next question comes from [Ben Faulk - Marble Barr].
[Ben Faulk - Marble Barr]: Just coming back, a couple of questions, first on the Watertronics acquisition that you made, I was trying to understand the incremental margins there because there [inaudible] good growth in irrigation margins, kind of up a little bit but not huge kind of implies that incremental margins were flat to downish. But that’s just based on – I obviously don’t have the volume price plus acquisition impact, I’m trying to understand what the acquisition dilatation could have been and kind of how that unwinds going forward, is the first question. The second question, again on steel, you said you’re talking about passing on that price increases going forward, how much price increase is an actual net price gain? In other words it’s more than offsetting your input costs?
Richard W. Parod : We’ll come to the first question which was on Watertronics and the point I would make on Watertronics regarding the increment in to the quarter is that Watertronics is a very small organization but profitable but it really had a very little, a very minor impact to the quarter. Watertronics was an acquisition which was made more for strategic purposes in terms of being able to integrate their pump systems and controls in to, and our irrigation system controls in to a complete turnkey type system and, that’s a process that we’re working through. So, what you should expect is very little impact from Watertronics in terms of impact either from an income or balance sheet standpoint because it is a relatively small business component.
[Ben Faulk - Marble Barr]: I was just trying to understand in terms of how much that, obviously you’ve got a revenue from that with or without the income so kind of how much of that can kind of work out incremental?
Richard W. Parod : I wouldn’t have the revenue number off hand for Watertronics. I just don’t have that handy, I’m sorry. But, it is a pretty small business with the total revenue in the $18 million range for the year. The second question was relative to steel and could you repeat that part please?
[Ben Faulk - Marble Barr]: Just a question on steel pricing, you said that you will continue to increase prices here subject to passing on the steel price. How much of that price increase is actually a net price increase? In other words you’re passing on a price increase that more than offsets your input costs. Or, is it just a wash?
Richard W. Parod : I would say that in general what we’re attempting to do with our price increases is to price to not only what we have seen in terms of steel but we’re looking forward in terms of the impact that we expect to have in any of our input costs. So, for example when we’re looking at our pricing action today it’s based on what we see happening with steel tomorrow or let’s say a month out from now and when we may have to mesh that up or supply it in terms of products. So, what we will see from time-to-time will be some net margin fall through but in general what we’re trying to do is stay current in terms of passing on those cost increases in the customer product.
Operator: Your next question comes from [Michael Riley - Maxim Group].
[Michael Riley - Maxim Group]: Having had a background in production myself, I don’t want to lead the witness here but there’s two ways of improving margins. One is obviously production process improvement which I would think you guys would through your R&D would be able to figure that out as you continue to build your products smarter and more efficient and the second is going back to the conversation about steel and that is to find alternative either commodities or alternative parts. So, it is hypothetical but you guys could wind of saying you’re going to use titanium or something like that down the road where you wouldn’t be effected by steel prices that much if you find that and that again could continue to lead to margin expansion. And again, I don’t want to lead the witness but am I on the right line there?
Richard W. Parod : Well, you are on the right line. I think that there’s a couple of points to what you said. There’s the production process improvements and then there’s let’s say product design type improvements that could be using alternate materials and things and we do continue to look at all alternate materials in place of the galvanized steel on pivots and we do sell systems that are aluminum, we do sell systems that are stainless, depending on applications. We do sell systems that are poly lined systems for some corrosive water applications and we do consider and do continue to review alternate materials like composite materials and things of that nature. The difficulty is that many of those materials are also somewhat expensive and they have to be able to withstand the weight and pressures of our applications. But, it’s definitely right on and I think as steel or any other material input cost rises, we need to continue to look at all alternatives. The first part of your comment was related to production process improvements and in our primary US factory we are also in the process of implementing many lean initiatives to continue to improve those processes. That has helped us this past year in terms of meeting the capacity needs and requirements or meeting the demands by expanding our capacity and different function and capacity but will also now and in the long term will continue to reduce our overall production costs and enhance our factory processes throughout the organization, not just in the US but in our global operations as well which we really haven’t even scratched the surface of yet. So, I think there’s fairly significant opportunities for lean initiatives and certainly the other, in terms of alternate material is one we’ll continue to watch and monitor and make those comparisons.
Operator: There are no other questions in queue at this time sir.
Richard W. Parod : Yes, for our business overall, the global long term drivers of water conservation, food requirements, environmental concerns, bio-fuels and improvements in infrastructure remain very positive. In addition to the overall business enhancements that have taken place we continue to have ongoing structured acquisitions processes that will generate additional growth opportunities throughout the world in water and infrastructure. Lindsay is committed to achieving earnings growth through global market expansion, improvements in margins and strategic acquisitions. We continue to have the financial flexibility to create shareholder value by pursuing a balance of organic growth opportunities, strategic acquisitions, share repurchases and dividend payments. We’d like to thank you for your questions and participation in this call.